Operator: Greetings, and welcome to the Hostess Brands Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host, Katie Turner.
Katie Turner: Thank you. Good afternoon, and welcome to Hostess Brands’ fourth quarter and full-year 2018 earnings conference call. By now, everyone should have access to the earnings release for the period ended December 31, 2018 that went out this afternoon at approximately 4:05 PM Eastern Time. The press release and an updated investor presentation are available on Hostess’ website at www.hostessbrands.com. This call is being webcast and a replay will be available on the company’s website. Hostess would like to remind you that today’s discussion will include a number of forward-looking statements. If you referred to Hostess’ earnings release as well as the company’s most recent SEC filing, you will see discussion of factors that could cause the company’s actual results to differ materially from these forward-looking statements. Please remember the company undertakes no obligation to update or revise these forward-looking statements. The company will make a number of references to non-GAAP financial measures. The company believes these measures provide investors with useful perspective on the underlying growth trends of the business and its included in its earnings release a full reconciliation of non-GAAP financial measures to the most comparable GAAP measures. And with that, I’d like to turn the call over to Hostess Brands’ President and CEO, Andy Callahan.
Andy Callahan: Thank you, Katie. Good afternoon, and thank you for joining us today. I’ll begin our discussion with a brief overview of our fourth quarter business highlights and touch on our 2019 colors for growth. Then, Tom Peterson, our CFO, will provide greater detail on our financial results. Finally, we’ll be happy to take your questions. We ended 2018 in a position of strength. With a deeper and broader foundation from which we will generate sustainable profitable growth. We’ve executed a number of initiatives to further solidify a leading market position in the Sweet Baked Goods category by strengthening our core hostess branded product offerings, expanding into adjacent categories through innovating -- innovation and cultivating key partnerships with our customers. We’ve sharpened our fundamentals with category and market data, added improved capabilities across our organization to better position us for growth and integrated and transformed Cloverhill, which is fueling better access and capability in breakfast. We believe these efforts better position us to grow market share and importantly grow the Sweet Baked Goods category going forward. In addition, we are adding key personnel to our team in important areas of our business, from operations, marketing, and human resources to support our ambitions. We will continuously look at expertise to the organization in 2019. Across our team, we’re working together to build a high performance based culture to consistently win with all stakeholders. We participate in a growing snack segment with iconic brands and loyal consumers. To support this growth, Hostess has developed a scalable infrastructure with an efficient operating model, differentiated capabilities that support collaborative customer partnerships, robust innovation, and significant cash flow that we believe success apart from our peers and position Hostess to create value for our stakeholders. We are exciting -- we are excited to be celebrating Hostess 100 year anniversary in 2019. At Hostess, we’ve iconic brands which have been built over the last 100 years combined with our entrepreneurial spirit, energy and enthusiasms of today. This is a unique mix and why I’m confident our best years are ahead. I would like to thank our dedicated team for their continuous efforts as we execute on our strategic priorities. In a dynamic operating environment, we delivered on our latest financial commitments, while building a stronger foundation for future growth. In the fourth quarter, we grew consolidated net sales, point-of-sale and market share. In addition, through our disciplined operational and integration efforts, the Cloverhill business completed the installation of core capital improvements setting us up for accretive revenue and EBITDA growth for years to come, a great corporate milestone. In 2019, we expect the Cloverhill business profitability to continue to improve as the year progresses. In particular, a few key fourth quarter highlights. Point-of-sale increased 4% and market share improved 44 basis points to 17.4%, both primarily driven by the Cloverhill business. Net revenue increased nearly 10% to approximately $215 million. This was similarly driven by the Cloverhill business, partially offset by slightly lower organic net revenue. We launch new innovation including a suite of hostess branded breakfast items and Totally Nutty, a premium peanut butter wafer bar. Our adjusted gross profit margin was 34.3%. To partially offset inflation, we executed multifaceted pricing and merchandising actions, which we expect to begin taking hold during Q1 of 2019. And our adjusted EBITDA of $51.4 million translates to an adjusted EBITDA margin of 23.9%. Importantly, we completed substantial capital improvements in the fourth quarter that we believe will help increase efficiency and profitability into 2019. Going forward, we have a robust plan to drive sustainable profitable growth in 2019. And this plan is grounded in five pillars: first grow the core. Second, grow through innovation. Third, improved agility and efficiency. Fourth, cultivate talent and capabilities, and fifth, leverage our strong cash flow. First, grow the core. Our team is emphasizing the approximate mix of products, including proactive evaluation of SKUs to optimize our portfolio, consumer preference and overall growth. Collaborative customer relationships play an important role in these efforts. And I am pleased with our progress in strengthening Hostess' partnership across all sales channels in 2018, and I'm excited about the opportunities we’ve to grow our Hostess partner program in 2019. At Hostess, we strive to be an indispensable partner to our customers and we will work daily to achieve that through development of highly incremental and profitable programs that are mutually beneficial and focused on growth. Our second pillar is grow through innovation. We expect to accomplish this through innovation of our core premium products and be a new adjacent categories, including for example, the expansion of our breakfast platform. The breakfast segment is an important innovation platform for us and we believe Hostess fair share development presents an incremental point-of-sale opportunity of over $100 million. We are pleased with the customer acceptance based on the launch of Hostess breakfast products thus far and expect the growth of these products to increase as we progress through 2019 and customers complete product reset. Our core innovation emphasizes new flavors of iconic products to leverage the brand's power and expand our offerings. We're also focusing our energy on premium innovation to attract new consumers at higher price points and expanding Hostess brand into new consumer segments, which drive incremental growth. Hostess Totally Nutty peanut butter wafer bars and our new Hostess Danish are great examples of this. We believe breakfast, premium innovation such as bakery petites are key platforms for growth over the next few years. They’re both highly incremental to our business and extendable. Going forward, Hostess will continue to like consumers in the Sweet Baked Goods category through our leading innovation. Our third pillar is to improve through agility and efficiency. In 2018, we implemented meaningful efficiencies demonstrated through the integration and transformation of Cloverhill. Additionally, we adjusted pricing and merchandising programs and executed on distribution and manufacturing opportunities during the year. We expect these efforts to mitigate the impact of transportation in raw material increases, while maintaining growth. As we move into 2019, we have a specific set of opportunities we are emphasizing to generate additional efficiencies and improvements to help enhance our operations. These benefits and the focus on an agile and efficient way of working will fuel reinvestment in consumer driven growth. Our fourth pillar is to cultivate talent and capabilities. We have strategically added key personnel to our team in areas of our business from operations, marketing and human resources, which all support our growth. We continuously look to add expertise. In 2019, to build best-in-class and fully integrated market analytics, innovation and marketing functions. It is important to not only have the right team to deliver on our pillars, but also provide that team consumer and market analytics to proactively build the business and organization. We're working together to continue to advance our wonderful high performance culture to win with our valued customers, consumers and suppliers as we generate value. And our fifth pillar is to leverage strong cash flow. We enter 2019 with a strong cash position. In 2018, we generated operating cash flow of $143.7 million and we expect 2019 cash flow will allow us the flexibility to preserve -- pursue a range of strategic options. We will continuously look to reinvest in our business, deleverage and pursue potential strategic acquisitions, while effectively managing our capital structure. Given our expected EBITDA growth and inherent strong cash flow generation, absent any significant business transactions, we expect our leverage to decline meaningfully through 2019. Particularly, as we’ve reduced the spent associated with the Cloverhill business transformation. We are excited about our opportunities to generate significant profitable growth and look forward to providing you with updates as we progress through the year. Our team has done a tremendous amount of work to develop new capabilities and sharpen the fundamentals of our business in a short period of time. We have the right team in place to execute on our strategic priorities and win with consumers and customers. We look forward to creating value for our shareholders for many years to come. Now I'll turn it over to Tom to go through the details of the quarter's results.
Tom Peterson: Thanks, Andy. I will now review our fourth quarter and full-year 2018 financial performance and other data from today's release. Net revenue for the quarter was $214.8 million, a 9.5% or $18.6 million increase from 2017's revenue of $196.2 million. The Cloverhill business, which was acquired in February of 2018, contributed $20 million of incremental revenue offset by slightly lower organic revenue. We generated $68.8 million of gross profit for the fourth quarter of 2018 and gross margin was 32%. Adjusted gross profit was $73.8 million or 34.3% of net revenue compared to 41.2% of net revenue in the fourth quarter of 2017. The decline in adjusted gross margin was primarily due to the mix shift -- in mix, of revenue to include the recently acquired non-hostess branded products which resulted in a 390 basis point decline in margin. Also higher inflationary pressures and customer allowances resulted in a 320 basis point decrease in adjusted gross margin. As Andy mentioned, significant capital projects installed in the fourth quarter are expected to be instrumental in further increasing the efficiency and profitability of our bakery operations into 2019. In addition, we executed a multifaceted approach to pricing and merchandising late in the fourth quarter to partially offset inflation, while preserving our growth potential. Our effective tax rate was 18.2% compared to 32.2% in the prior year, excluding the benefit of tax reform. Adjusted EPS was $0.17 per share, flat as compared with the fourth quarter of 2017. Our operating cash flow for 2018 was $143.7 million compared to $163.7 million last year. Our CapEx was $48.4 million mainly for improvements at the Cloverhill business along with the new Cake Line we installed in Columbus, Georgia. We had cash and cash equivalents of $146.4 million and net debt of $841.6 million as of December 31. This is a leverage ratio of 4.5x. In terms of our outlook for 2019, we expect organic revenue to continue to grow well above the Sweet Baked Goods category driven by our new innovation including hostess branded breakfast and other core innovation as well as expand distribution and improve the merchandising execution over the course of the year. As a result, we expect Q2 and Q3 to be our highest revenue quarter contributions for the year. From a profitability perspective, we expect adjusted EBITDA to be in the range of $200 million to $210 million and adjusted EPS to be in the range of $0.57 to $0.62 per share. Each of these primarily driven by the execution of the multifaceted pricing and merchandising programs and achievement of operating efficiencies. Our adjusted EBITDA growth is expected to build sequentially throughout 2019. In '19 -- in 2019, we also expect to incur approximate $42 million in interest expense, $45 million of depreciation and amortization, and $9 million of share-based compensation. Absent any significant transactions or optional debt reductions, we anticipate to end the year with a debt leverage ratio of between 3.5x and 3.7x driven by strong operation -- operating cash flows of $150 million to $160 million. We expect capital expenditures of approximately $30 million to $35 million for the year ended tax rate of 21% to 22%. I will now turn it over to Andy for his closing remarks.
Andy Callahan: Thanks, Tom. In closing, we had a solid end to 2018. We executed on the plan to advance our business in a dynamic and challenging operating environment. These efforts now position Hostess better than ever before to win with both customers and consumers. We're fortunate to have a century-old iconic brand with products that resonate with today's consumers in growing snack categories. We have sharpened our fundamentals and add the key talent capabilities across our organization. The investments we're making in our operating approach grounded in our five pillars will fuel growth well above the sweet baked goods category. Drive highly accretive revenue and profitability and create value for our shareholders. And with that, Tom and I are available for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Goldman with JPMorgan. Please proceed with your question.
Ken Goldman: Hello. Excuse me, good afternoon, everybody. Thanks for taking the question. Two for me. You've guided to the Chicago Bakery, generating $20 million to $25 million of EBITDA in 2020. Is that still a reasonable target? And I know you don't want to give specific numbers on 2019, but if you can give us some kind of parameters for where you expect maybe the run rate at the end of the year to be, that would be very helpful in terms of EBITDA.
Andy Callahan: Yes. Thanks, Ken. The run rate -- while we are not breaking it out for '19 or going forward, the run rate EBITDA result continues to be ahead of our acquisition economics and we continue to be excited about the progress we've made at Cloverhill.
Ken Goldman: Okay. And -- but the 2020 number is at least still a base, where you're not pulling back on that in the lower. And it sounds like it's -- if anything, it's slightly above that in your goal.
Andy Callahan: Correct. We are not pulling back from anything.
Ken Goldman: Okay. And then I wanted to ask about pricing. I thought I heard you say and maybe I misheard that pricing really hasn't fully come free. I know that there were some delays in -- not delays, but sort of some offsets in terms of pricing that was promised and maybe some deal backs, but I had hoped that maybe the pricing would have started by now and it sounds like maybe it's still quite hasn't. Did I hear that right and if I did, is there anything delayed or is it sort of on-track to what you expect that to be in terms of timing?
Andy Callahan: No, Ken, I will address that. We’ve -- as you know and we said last quarter, we implemented a multifaceted pricing. So this pricing was part of it. We then adjusted some other components of it, including some weight out and other things and the teams executed that as we had planned. We’ve adjusted all of our list pricing as planned and those things are flowing through in the quarter.
Ken Goldman: So, no delays then?
Andy Callahan: In Q1, we did not delay the execution, no.
Ken Goldman: Great. Thank you so much.
Andy Callahan: Thank you.
Tom Peterson: Thanks, Ken.
Operator: Our next question comes from the line of Steve Strycula with UBS. Please proceed with your question.
Steve Strycula: Hi, good afternoon. So quick question for me to follow-up from Ken, from a historical sense for 2018, did you disclose what the EBITDA drag was for the year, not asking for a forward-looking indicator, but at least for historical, that will be helpful.
Tom Peterson: Yes, we didn't -- we put it in the margins, but it was roughly $14 million.
Steve Strycula: Okay, great. And then as you exited 4Q, the gross margin rate was clearly improving as we move throughout calendar '18. Can you help us think qualitatively through some of the puts and takes as we move through 2019, whether as how pricing flows in, the allowance that they call out in 4Q, transport cost raw materials, anything just directionally to help us think through it. Thank you.
Andy Callahan: So, yes, thanks, Steve. Our 2019 guide is really driven by our growth in breakfast, our improved merchandising, our price increase, the operating efficiencies and a profitable expectation for Cloverhill for 2019 and also reinvesting in the consumer. We believe that will improve through the year as we roll out our merchandising in improved merchandising programs with customers as we -- as Cloverhill continues to gain its operating efficiencies as we roll through the price increases. So through the year, it will continue to improve.
Operator: Our next question comes from the line of Brian Holland with Consumer Edge Research. Please proceed with your question.
Brian Holland: Yes, thanks. Good evening, gentlemen. First question is housekeeping. Can you give us a sense of what organic growth in Sweet Baked Goods sort of ex your largest customer, where you had the merchandising headwind look like in the quarter, any idea?
Andy Callahan: We are not trying to break that out, Brian. What’s really important to us is how I feel going forward and I feel great about our relationships across all customers going forward in all channels. And our growth was -- it was slightly behind in total. It's offset by really strong growth in Cloverhill and I expect, given the partnerships we have and the plans we have, to have a more even growth contribution across the board in 2019.
Brian Holland: Okay. Fair enough. As I look out and obviously part of this outlook, well above the category is tied to some merchandising component. So I’m just curious what kind of line of sight you have there and how broad based that is? Is this a situation where maybe you're making up for lack of display support in certain places elsewhere or are you getting display support back where you've lost it, where you lost it in 2018? And then if I could just tack on one more on the In-Store Bakery, saw a nice inflection there. Just curious if there is anything to that that we should be thinking about long-term or is that really just a volatile business quarter-to-quarter and not much to read in there. Thank you.
Andy Callahan: Let me take ISP first. Brian, thanks for both of those questions. ISP had a good quarter and they were up a little over half a percent on the revenue side and they implemented some nice seasonal programs within there, tied to some new innovation and those take some time to sell until the team has done a nice job. I think that's repeatable and I expect to see ongoing some good growth going forward on that business. And then back to your other question across the broader business. I expect to see growth in three real areas as we move forward. I expect to see growth on our base core business, driven by improved merchandising, and as Tom mentioned, I see that improving throughout the year given the line of sight I have with our partnerships in the program, we developed across all of our channels. I expect to see growth from the platform of Breakfast that we are launching and we are getting early indications are positive. We are already working on a pipeline of innovation news within that to fuel it. It's a meaningful segment, which were underdeveloped and as we mentioned in our prepared remarks -- that there's $100 million of POS available for us to bring our brand, bring renovation and bring our capabilities that we acquired within the Cloverhill acquisition to bear there. And then thirdly, we are working on looking at our value portfolio, which through the Cloverhill acquisition given access some channels, but also combining some of those capabilities with our Dolly brand. We are doing a nice job and the sales team and Andy Jacobs team are doing a nice job of driving and selling in that platform for us. So I believe as we go in, we have really good focus on our growth initiatives, and I believe we will see upside as we move throughout the year.
Brian Holland: Appreciate it. Best of luck, gentlemen. Thanks, Brian.
Operator: Our next question comes from the line of Bill Chappell with SunTrust. Please proceed with your question.
Bill Chappell: Thanks. Good afternoon. Andy, can you talk a little bit more, I’m just trying to get comfortable on the innovation side, and when I say that, I understand your market share was hit by the issues at Walmart over the past year, but you didn't really hear a whole lot from the class of 2018 initiatives, be it single served donuts or cake loaves or I mean there are several other things out there that didn't seem to move the needle. And at the same point, we saw Bimbo seem to take a lot of share with what they're doing. So I’m just trying to understand how we get confidence with the class of '18 kind of new products and merchandising and within those still having a fair amount of momentum, how you can get that share back?
Andy Callahan: Yes, thanks for the question, Bill. We have a lot of respect for everybody who competes within this space. I think one of the great elements of competing in the Sweet Baked Goods category is that also view the consumption as highly expandable. If you bring a great item of new innovation, you could drive usage and you could drive penetration within the category. In some areas it's highly impulsive and in some areas, it has a very broad consumer choice set within the new states in which we compete. With that being said, as we come out of -- into '19 and I look at within our Breakfast segment, given our operating model, given our relationships with customers and given the rollout we have, which isn't just one item and in innovation, I feel good about the contribution that we have built into our plan. But like any innovation what we want to be is a very agile and efficient group, so we launched it. We look at how it's doing and we want to be really nimble and efficient in making sure that we can build a pipeline to drive growth. So the platform this year is larger as we come out of some of the initiatives we had in 2018 and I feel good about the early results, but what we are going to do is continue to keep it close, and continue to be very nimble to make sure that it continues to drive growth. Our Hostess and the team have a great legacy of being nimble in innovation and being prolific with it, and we continue to keep that going forward.
Bill Chappell: Okay. And then, just back on the pricing I didn't -- is there expectation that it's across the board pricing within the category or is it more select items and I know that the industry leader or the market -- the share leader in the category is actually value position. So does it even matter if they follow on pricing?
Andy Callahan: So the pricing was as we mentioned, we did a lot of research on the analytics and elasticities across our portfolio. We price the balance, recovery of the inflation in margin, but while maintaining growth. And therefore we did price across select areas of the portfolio, mostly around single-serve and then took other initiatives related to rolling out our Hostess Partnership program, some downsizing, and some other initiatives across the rest of the portfolio. So most of the list price increasing was within the single-serve and some areas within our value channel which were already priced below value within some of the Cloverhill acquisition, some of those other portfolios, part of the portfolio. So it was focused, but it was driven by the analytics that we completed. So we can balance our growth and margin recovery.
Bill Chappell: I guess, then just -- was there a follow-on of pricing from competitors?
Andy Callahan: I can't comment on competitor pricing. I know what we did, and so I don't know how pricing the competitors change or did not change anything they have within their list pricing.
Bill Chappell: Okay. Thank you.
Andy Callahan: Thanks, Bill.
Operator: Our next question comes from the line of Rob Dickerson with Deutsche Bank. Please proceed with your question.
Rob Dickerson: Great. Thank you. Yes, so I just -- first question is just on with the comment you made that maybe it was just in general, not a timeframe, but there you say there could be a $100 million point-of-sale opportunity in the breakfast channel or day part. Assuming that's just entirely prevent by Cloverhill, the new manufacturing -- excuse me, manufacturing capacity. So I guess the first question is, over what time period is that, just in general because you are looking at overall share and common normalized penetration rate one. And then two, kind of more specifically in the near-term, if I look at your EBITDA guidance for '19, which seems to be fairly good all things considered, but at the same time, we know that Cloverhill should be contributing to that EBITDA. So I guess, yes, first question is, what’s the real opportunity and the timeframe of the $100 million point-of-sale for the business. And then my second question is, do you expect the base business to grow EBITDA nicely? Thanks.
Andy Callahan: Yes, so the $100 million opportunity is a mathematical view of Breakfast and us developing our fair share within it. We expect to make meaningful progress and have good growth in 2019, but we are not going to achieve that fair share, that’s baked [ph] forward-looking view of the growth, but we feel good about the contribution of Breakfast in 2019 and we will continue to tweak and continue to innovate it. It's a segment of the business that we're going after a more meaningful way and we will continue to go after it with this initial launch to follow on innovation. And then I will turn it to Tom to address the Cloverhill profitability.
Tom Peterson: Yes, so to confirm in the guide that we are expecting a profitable Cloverhill bakery in the guide this year and a turnaround from the negative results of 2018.
Rob Dickerson: Okay. And then, I guess, quickly, just in terms of gross margin kind of vis-à-vis your comments, Tom, I think you said maybe Q2 and Q3, would be a little bit more of a contribution for the full-year. Is there a -- just given what’s happened in '18 and given the mix component of Cloverhill, do you expect gross margin to get incrementally better as the year progresses one, and two, is just a quick comment on why are Q2 and Q3 stronger?
Tom Peterson: So that was -- primarily those notes were from a revenue standpoint, from the prepared remarks, but Q2 and Q3 are generally are stronger quarters and then we look at our merchandise -- our overall merchandising programs and that’s where we expect. We do expect, as you asked, our gross margins to improve through the year and then as we continue to fill up Cloverhill and then we will continue to trade it up and we’ve done a number of things to trade it up over 2018 either from eliminating some unprofitable screws and then just changed around pricing for things that just didn't make sense pricing the value. We are continually evaluating those programs as we roll through 2019.
Andy Callahan: Yes, I feel really good given the magnitude of the transformation on Cloverhill of where we are sitting right here. The amount of transformation relative to the investment, the operational changes, the ability to be able to sell in the revenue out of that acquisition into new channels, really good and I expect the progress around efficiencies as Tom mentioned and the selling of the products to continue to improve as we go through the year
Rob Dickerson: Okay, super. Thanks so much.
Andy Callahan: Yes, thanks, Rob.
Operator: Our next question comes from the line of Pamela Kaufman with Morgan Stanley. Please proceed with your question.
Rose Lauricella: Hi. Thanks for the question. This is actually Rose on for Pam. I just wanted to touch quickly on your comments regarding leverage. You mentioned you expect leverage to fall meaningfully throughout 2019. So how should we think about the cadence of debt pay down over the course of the year?
Tom Peterson: Yes. So we continue to review our capital structure and opportunistically take advantage of that. The leverage ratio will move down really ratably through the year and we will decide what to do with our excess cash. We’ve -- we ended the year with a little over $145 million and we will continue to review that this year as we pursue reinvestment in the business and various strategic avenues that we might consider.
Rose Lauricella: If I could, just to follow-up on that, regarding strategic avenues, are there any assets that you think would make sense from a portfolio perspective or any areas that you are under indexed to that you think you could expand into?
Andy Callahan: We are not going to comment on any specifics. I really think we have a terrific business model and a platform to expand upon just in general. So we are always looking for opportunities that help build on the platform that the team has built and the capabilities we have.
Rose Lauricella: Great. Thank you.
Andy Callahan: Thank you. Appreciate it.
Operator: Our next question comes from the line of Michael King (sic) [Michael Gallo] with CLK. Please proceed with your question.
Michael Gallo: Michael Gallo, CLK. Congratulations on the good finish to the year. My question is sort of twofold. Andy, you’ve been there now for couple quarters. I think you noticed that there were some capabilities that when the company was strong and there were scenarios you thought could be improved when you started. I was wondering now when you look at where things are, where you still see some opportunity, where you’ve kind of improved some of those capabilities, and what kind of capital projects outside of Cloverhill that we should think about for '19? Thanks.
Andy Callahan: Thanks, Mike. I appreciate the question. I’m going to maybe answer it in a little different way than you asked it, if that's okay, but if I don't answer your question, let me know. I was able to join a company that had a tremendous foundation and a position of strength. We’ve a culture that’s just action-oriented, entrepreneurial, focused on results and just really has a great pride of the business that they’ve built and I referred to them as the second founders as people on the team would say. So as we move into the next phase, that next phase requires some sharpening in the next phase of capabilities to be able to get us there. So it's not a -- I would just answer in a different way as opposed to efficiency. It's the next phase and mindset and a culture that the team has, which I’m also very proud to just tell everybody, which is a continuous improvement mindset and that’s where we are. We are moving through the next mindset where the next phase of growth and we mentioned some of those in the prepared remarks where we built this great portfolio within the core and now we are sharpening some of the information within that core to make sure that we are more nimble in optimizing the growth and profitability of the portfolio we have when we went into pricing. We now have sharper insights and knowledge around the elasticity of our portfolio and knowhow where there's sensitivity to grow. When we move into innovation, we did a lot of new great innovation, our platforms around LTOs and then tying into really consumer relevant usage occasions and expanding usage, which is why they are so incremental, and now sharpening the lead space in the platforms within consumers to drive growth within there and then looking at ways that we can directly communicate to consumers in a very smart, not an expensive way, but a very smart way to drive growth. So we are looking at sharpening both the information and the focus. So as we build into the next phase of growth and we leverage the differentiated platform we have, we do it in a way that allows -- it creates a sustainable model to be able to grow. So it's the next phase of the evolution. We are investing in those to make sure that we continue to stay lean and agile, as I mentioned in my prepared remarks. We continue to find those next avenues in growth because we are maniacally focused on continuing to grow our business. So hopefully that helps. That’s where we are focused. I feel really good about the progress we’ve and I expect to make continued progress and continuous improvement mindset as we move into '19 and beyond.
Michael Gallo: That’s helpful. And then follow-up question for Tom and maybe I missed it in the prepared remarks. But what do you -- what’s your expectation on logistics costs overall '19 over '18?
Tom Peterson: Yes, we didn't break it out specifically. We do expect them and have some inflation in our 2019 guide, but we didn’t break it out specifically.
Michael Gallo: Thank you.
Andy Callahan: Thanks, Mike.
Tom Peterson: Thanks, Mike.
Operator: [Operator Instructions] Our next question comes from the line of Alexis Borden with Citi. Please proceed with your question.
Alexis Borden: Hi. Thank you for the question. Kind of following up on the last question, in terms of inflation, just the overall inflation outlook, obviously, you guys are hit pretty hard last year. Kind of what’s the outlook going forward in '19, not just the transportation, but also kind of ingredients and kind of do you think that you are going to be able to cover the incremental inflation this year, or is it still going to be a drag on 2019 somewhat?
Andy Callahan: Yes, so we see inflation in transportation, in wages and of course as everybody in the industry has some sugar inflation and some corrugate. We would made a good estimate of that, we didn't break it out separately. It will not be as substantial as 2018. We don’t believe and we are working on efficiency programs that can keep up with our inflation.
Alexis Borden: Thanks. That’s helpful. And in terms of the price increase, obviously it's still early days and it's kind of maybe just come to market now, but we are already about two-thirds of the way through the first quarter. Is there any takeaways you have in terms of price volume elasticity or things relatively in line with your expectations or you still need to do a little bit more working to understand kind of how the pricing is kind of being accepted into the marketplace by these consumers?
Andy Callahan: I think it's too early. We do track it all the time. There's number of variables that happen as you mentioned here. It's the timing of when they get implemented. Some are a little bit higher and lower than what we expected. So it's a little bit early to get a good set, but we maniacally look at it, we track it. If anything, it's -- there's no big surprises that pop out relative to elasticity too early, but we will continue to monitor it. I think it's too early to make any conclusions or any adjustments to the execution that seems pursuant.
Alexis Borden: Thank you.
Operator: Our next question comes from the line of Steve Strycula with UBS. Please proceed with your question.
Steve Strycula: Hey guys, just couldn't get enough the first go around. So I have a quick question for you on follow-up on Chicago Bakery. It enters the comp base from a Sweet Baked Goods calculation, in the beginning of the first quarter -- end of the first quarter of calendar '19. So I guess my core question is, do we expect after the CapEx spend that you did in the fourth quarter for the revenue, quarterly revenue run rate to step up from maybe $20 million per quarter to closer to $25 million? And then as a follow-up, should we expect that ex Chicago Bakery that total Sweet Baked Goods for you should grow in '19? Thank you.
Andy Callahan: Okay. So we bought the Cloverhill business in February of 2018. So it will have -- it had two months last year in the same number. I think that the comp of '20, it will continue to grow the Cloverhill Big Texas and private label business will continue to grow throughout the year, and we also expect Sweet Baked Goods ex Cloverhill to grow as well.
Steve Strycula: Very helpful. Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to management for closing remarks.
Andy Callahan: So thank you so much. I just want to thank everybody for your interest in Hostess. The team has done a lot of work on focusing on our consumer, focus on growth and focus on building a platform that’s going to build a sustainable growth model and shareholder value going forward. So we look forward to getting after it. We are focused on execution and focused on growing and look forward to giving you updates along the way. And with that, I will turn it over to the moderator, but I think that closes out our call.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.